Kazuyuki Masu: I'm Kazuyuki Masu, CFO. Thank you very much for taking time out of your busy schedule to join our Financial Results Briefing today. I would like to explain the fiscal year 2020 financial results and fiscal year 2021 earnings forecast. I will use the presentation material in the middle of the screen entitled Results for the Year Ended March 2021 and Forecast for the Year Ending March 2022. Please turn to page 1. There are three points I will explain. First, consolidated net income for fiscal 2020, decreased by ¥362.8 billion year-on-year and reached ¥172.6 billion. Secondly, although we did not achieve the ¥200 billion forecast announced in August, we will maintain the annual dividend at ¥134 per share as forecasted at the beginning of the fiscal year. Lastly, consolidated net income forecast for fiscal 2021 is ¥380 billion and the dividend will be ¥134 per share the same amount as fiscal year 2020.
Unidentified Company Representative: Thank you, Mr. Masu. Next will be Mr. Kakiuchi, our President. 
Takehiko Kakiuchi: Thank you very much for taking time out of your busy schedules to join us today. I would like to explain the highlights of our financial results. Please refer to page 1 of the presentation. Our fiscal year 2020 net income was unfortunate. It was ¥172.6 billion in net income. However, automotive-related data and metallurgical coal-related in Australia and COVID had an impact. And for Lawson there was impairment losses. And we were originally budgeting ¥200 billion, but we underperformed and we take this seriously. Going forward, we would like to ensure that we achieve our forecast. And socially, economically and politically, we would like to account for various types of conditions, so that we could build on our results. The interment losses related to Lawson is due to the fact that daily sales went down due to COVID-19. And it was hard for us to expect -- we expected that profitability recovery is going to take a longer period of time. But Lawson has a network of more than 14,000 stores in Japan and we believe it has great potential as an infrastructure for people daily lives and community-based and decentralized society going forward that will utilize digital technology. The company will also contribute to the enhancement of value by providing new services in combination with electric power and other businesses. And we would like to ensure that to the community we are able to cater to various types of needs and be able to establish a new format.
End of Q&A: